Operator: Good day ladies and gentlemen and welcome to your Ethan Allen second quarter earnings release conference call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session, and instructions will be given at that time. (Operator Instructions) I would now like to introduce your host for today’s conference Mr. Farooq Kathwari, CEO of Ethan Allen. Sir you may begin. (Mr. Kathwari experienced audio difficulty and call was placed on hold while he spoke with the operator.)
Operator: Good morning Mr. Kathwari, you may begin your conference now.
M. Farooq Kathwari: Yes, thank you very much and good morning. I am Farooq Kathwari, Chairman and CEO. And joining me today are David Callen, our Vice President of Finance and Treasurer; and Peg Lupton, our Director of Investor Relations. I am also very pleased that we have today about a hundred of our senior interior design associates from across the country who are attending a special conference here at our Danbury headquarters. I will give you a brief overview, David Callen will give details of the financials for the three and six months, and I will follow with a business update. And then we will open for questions. We expect to end the call at about 11:45 a.m. We are pleased that despite a difficult economic environment we have been able to maintain an earnings per share of $0.70, the same as in the previous year quarter. The main drivers have been: a positive sales growth all due to increases in our retail division, due to adding of eleven new design centers as compared to last year quarter an improvement in gross margins to 53.7% from 52% which resulted in an $0.11 positive impact on our earnings per share we also maintained a strong 12.9% operating margin We were impacted by the larger expenses due to the addition of the eleven new design centers. This had an impact of $0.17 to our earnings. We are pleased with our ability to continue to repurchase our stock and our repurchase program is on a continuing basis. During the quarter we had a positive impact of $0.07 due to the repurchases. Our other income was reduced due to lower interest income by utilizing funds for share repurchases this had an impact of $0.01. We ended with a cash balance of $86.3 million. Our inventories increased 1.4% and all due to our taking a larger position in upholstery fabrics and leathers. And the leather is due to the fact of acquiring a plant in Mexico. We are pleased that despite the additional expenses relating to the eleven new design centers, a difficulty economic environment, we had overall positive sales growth, a higher gross margin and a good operating earnings, and a strong financial position. After David Callen gives his more detailed financial information I will comment on the many initiatives that we continue to take to position Ethan Allen as a provider of stylish, good quality, good value programs, backed with interior design solutions. David?
David R. Callen: Thanks, Farooq. Good morning. Please note that in the earnings release issued earlier today and in the course of our prepared remarks, reference has been made to certain non-GAAP information. Which excludes the affect of restructuring and impairment charges recorded during the quarter ended September 30, 2006 and credits recorded during the quarter ended December 31, 2006. A reconciliation of this non-GAAP information to the most directly comparable GAAP measure is available on our website. Net sales in our second quarter increased 0.8% over the prior year quarter to $259.5 million. The company’s retail division posted an increase in net sales of 8.6% to $192.6 million, while comparable design center delivered sales were down 0.6%. Written sales in retail increased 1.6% while comparable written sales decreased 7% versus the prior year second quarter. Wholesale net delivered sales were $155.9 million in the quarter, down 5.9% from last year’s second quarter. The quarterly gross margin was 53.7%, as compared to 52% in the prior year period reflecting improved efficiencies in our manufacturing and retail operations, and an increase in the proportion of retail sales to our total net sales. We continued to benefit in the second quarter from less overhead from previously closed facilities and operational efficiencies in both the wholesale and retail divisions. During the current period, consolidated operating margin was 12.9%. Wholesale and retail operating margins were 16.9% and 3.3% respectively. These operating margins were achieved while investing an additional $3.4 million in selling expenses. This increase was driven by increased advertising and higher commissions on the higher volume of retail sales. The total operating expenses also reflect an increase in general and administrative cost of $5 million, primarily for the cost of occupying and running eleven additional company owned design centers in the retail division when compared to last year at this time. Diluted earnings per share for the quarter were $0.70 on net income of $20.6 million. This compares to diluted EPS of $0.70 per share and net income of $22.8 million in the prior year comparable period. Our stock buy-back program resulted in three million or 9.1% fewer weighted average shares outstanding during the quarter versus the second quarter last year. This benefitted the remaining share holders by $0.07 per diluted share this quarter. For the six month period net delivered sales were $508.2 million, an increase of 1.6% from the prior year comparable period. Net delivered sales for the company’s retail division increased 9.3% to $375.3 million. While comparable design center delivered sales decreased 0.2%.Year-to-date written sales in retail increased 5.9% during the period, while comparable written sales decreased 3.2%. Wholesale sales were $312.3, down 2.8 % from the prior year-to-date. The year-to-date consolidated gross margin was 53.7% as compared to 52% in the prior year period, reflecting the improved efficiencies in our manufacturing and retail operations, as well as the proportional increase in retail sales relative to our total net sales year-to-date. During the six month period consolidated operating margin was 12.1%. Wholesale and retail operating margins amounted to 17% and 1.9% respectively during the period. Diluted earnings per share for the six month period amounted to $1.27 on net income of $38.1 million. This compares to diluted EPS of $0.96 per share and net income of $31.2 million in the prior year comparable period, which included restructuring and impairment charges totaling $13.6 million related to the consolidation of two manufacturing facilities. One of which has been converted into a regional distribution center. Excluding the restructuring charge, diluted EPS amounted to $1.22 on net income of $39.8 million in the prior year period. Again, our stock buy-back program benefitted shareholders by $0.10 per diluted share, by lowering the weighted average shares outstanding year-to-date by 2.6 million shares, or 7.9% compared to the prior year-to-date weighted average shares outstanding. Our financial position remains strong. During the six month period ended December 31, 2007, we generated cash of $47.4 million. We used $61.4 million of our available cash to repurchase 1.9 million shares of our common stock. Also during the year we used $30.3 million to fund capital expenditures. Spent $6.7 million to acquire a cut and sew upholstery facility in Mexico and two design centers in the US, plus return $12.8 million in cash to our shareholders through quarterly dividends. Inventories have increased 1.4% or $2.5 million during the year. We remain in a strong service position with respect to incoming orders with 98% of our case goods items available for shipment within four weeks. EBITDA for the six month period totaled $75.7 million or 14.9% of sales as compared to $76.5 million and 15.3% respectively in the prior year-to-date period excluding the aforementioned restructuring and impairment charges. Overall we are very pleased with our operating results and financial standing in this challenging economic environment.
M. Farooq Kathwari: Yes, thanks, David. Relating our business, our primary focus in our fiscal 2008 remains on the following initiatives: to further improve our vertically integrated structure to provide interior design solutions to further improve our offerings and implement a strong and coordinated communications program Some of the key initiatives include development of a strong interior design professional team at retail. We have continued our aggressive program of recruitment and training. Since implementing the project management program about three years back, we have today about 400 project managers in place, most of them promoted from within. In addition, we have substantially strengthened the caliber of interior design professionals in our design centers. Migration lifestyles presentations in our design centers, this has involved changing over 80% of our product programs during the last several years. We have improved style, quality, detail, assortment, and value. We project our program in several lifestyles and quarter ending December 31, 2007; we introduced new products to support our various lifestyles particularly in Villa, Global, and Country House. These new products are being delivered to our design centers at this time. During the quarter we also introduced a major repositioning of our fabric and leather assortments. In addition we introduced a very major upholstery program which is now being shipped to our design centers as well. We have continued to strengthen our design centers. During the six month ending December 31, we opened seven new design centers in the US and three overseas. The new locations, mostly relocations, are larger design centers and in prominent locations including Denver, Los Angeles, Cincinnati, Minneapolis, and the New York area. We have also continued to make changes to our existing design centers in projecting the lifestyle presentations that we introduced in the last fiscal year. So far over 70 design centers have implemented and about 40 are to start. Earlier this month we announced the consolidation of twelve design centers which will help us operate more effectively. We are also in the process of converting four of these consolidated locations to our Styles Studio concept, which involves operating about a 2500 square foot or 3000 square foot interior design studios. During the next six months, we plan to open 8-10 full sized design centers in various metropolitan areas such as Denver; Philadelphia; Birmingham, Alabama; Richmond, Virginia; Sacramento, California; Clearwater, Florida; Sarasota, Florida; and Austin, Texas. In addition we are looking forward to the opening of our flagship design center in Manhattan this spring on Third Avenue and 60th Street. At December 31, 2007, we had 305 design centers, 160 operated by the company, and 145 are independent licensees. During the quarter we maintained a strong advertising campaign consisting of national television, direct mail, and other mediums with objectives being to maintain continued [inaudible] message and to expand our reach to more people. We are also making good progress in the development of our new website and expect to get online by summer of this year. Our objective is to developing our state of the art website combining personal service of our interior design consultants with technology. As mentioned previously, our products will be available for order on our website and we plan to forward these orders to our design consultants so that our clients benefit from both the technology of the internet and the personal, professional services of our design consultants. On our operations side we continue to make improvements to our vertical integration advantage which evolves from concept of a design idea, to final delivery to a consumer’s home at one best everyday price. During the quarter we purchased a facility in Mexico which will help the cut and sew operations of our upholstery manufacturing in the United States. We continue to produce about 60% of our products in our nine US manufacturing plants. We have also in place five national distribution centers supporting the work of about 100 retail service centers which prepare and deliver our products to our clients. As David mentioned, we are in a good service position. And at this stage we will open for questions and comments. Now operator could you please open for questions and comments?
Operator: Thank you, sir. (Operator Instructions) We have a question from Todd Schwartzman.
M. Farooq Kathwari: Yes, hi Todd, good morning.
Todd Schwartzman – Sidoti and Company, LCC: Good morning, Farooq. I just had a quick one for you with the increased focus on interior design service. You noted in a press release a couple of weeks ago that you don’t feel a need for as many design center locations in the major markets. With that in mind, how do you now think about determining the appropriate number of stores in a given top 20, top 30 type market?
M. Farooq Kathwari: Todd, we have approximately 250 major design centers in North America. 250 plus, I’m excluding the 12 that we just talked about consolidating. Our objective would be at this stage we are looking at the opportunity of continuing with repositioning our design centers for the right locations. Because that has been our objective in the last 15 years, and 300 of these design centers, 60% have been relocated. And our objective would be to continue to reposition this year, the next fiscal year. And after that we should have a major slow down in new design centers relocations because we will have completed most of it, which also has implications on our capital expenditures two years from now. Now supporting these 250 or so, maybe 250-275 major design centers, we are going to support them with smaller design studios. And that is why I mentioned that the four of the twelve that we are going to be consolidating are being turned into initially existing ones. But the next few months we will be looking for a smaller space to be able to convert them to a design studio which we be operated by about two interior design professionals with an assistant. And we believe that they will be able to do most of the business that was being done by a full size store with operating expenses that are not. Operating expenses are just too high to be profitable, so a design studio, we believe, coupled with regional or major design centers are where we are going to go.
Todd Schwartzman – Sidoti and Company, LCC: So the expectation would be that the design consultant would be out of the office, so to speak, as much as possible making house calls and doesn’t need as much full time space hence the smaller design studios.
M. Farooq Kathwari: Absolutely, and in fact this is all part of our migrating to an interior design company. If we are not migrated to that we will be selling furniture as a commodity. We are selling solutions and service. And as I said, we are very pleased that we have over 100 of our professionals here sitting with me and nodding their heads. And that is really what our strategy is going forward. But we could not have done it without having created a base of an interior design solutions base business.
Todd Schwartzman – Sidoti and Company, LCC: Obviously you have a lot of competitors who are trying and have tried to emulate this business model. Is there anyone that you think, a competitor of yours that has made some strides in that respect?
M. Farooq Kathwari: Well, this is a very fragmented industry. And we have a lot of competition but they are really fragmented. And there many people who are really doing well but at the national level, I think, it is still somewhat behind where we are. So I would say that most of our competition in that area is some regional, local people who are doing a good job.
Todd Schwartzman – Sidoti and Company, LCC: Thank you, Farooq.
M. Farooq Kathwari: All right, Todd.
Operator: Our next question comes from Budd Bugatch.
M. Farooq Kathwari: Hey Budd good morning.
Budd Bugatch – Raymond James & Associates Inc.: Good morning, Farooq. How are you?
M. Farooq Kathwari: I have to use your last name.
Budd Bugatch – Raymond James & Associates Inc.: You have the same challenge, I’m afraid, so we share a challenge.
M. Farooq Kathwari: No, my name is easier, go ahead.
Budd Bugatch – Raymond James & Associates Inc.: A couple of questions, one, I was struck by the minus 7% comp. Could you talk a little bit about at the written level, could you talk a little about what you are seeing at retail and how that may have progressed over the quarter?
M. Farooq Kathwari: Well, keep in mind our comp written is somewhat impacted by the fact that all of the relocations that we are doing. Because, Budd, when we relocate a design center we take it off our comp. And consider it as a new design center, so that our comp and our total business is not exactly what you might consider more on a normal basis where people really have new, new design centers. So keep that in mind, that’s number one. Number two, is business positions in the quarter have been somewhat difficult. We also decided, as we have always done, that we are not going to get more sales and give up margins. That’s why our margins are higher. I always believe that profitability is as important as sales and as importantly we have also maintained our strategies of everyday best price. So we have had all of these factors. Somewhat of a tougher economic environment, we have seen that throughout the quarter that people were concerned. And people are still concerned but fortunately we are still getting our share of business.
Budd Bugatch – Raymond James & Associates Inc.: And did you mention how that may have progressed over the quarter is it tougher today than it was at the beginning of the segment quarter?
M. Farooq Kathwari: Well December, I would say that the month of December was somewhat tougher. In the first one or two weeks of January we did see traffic increasing, people coming back into our design centers. And the last week, with all of this news especially in the financial market and Wall Street and everything else, you have got people concerned. So we saw that earlier our traffic has increased, people are somewhat concerned. But I think there is reduction of the discount rate, I think is extremely important. I think you can already see that somewhat positive impact on world markets, domestic markets, are important. Because today our customers are looking at their wealth, and if their wealth goes down they get concerned. So, I think, all of those factors we have to take into consideration.
Budd Bugatch – Raymond James & Associates Inc.: If I did some quick math on the numbers that David and in the release went over, the $8.4 million of increase in G&A and sewing expense, is that almost all retail related?
M. Farooq Kathwari: It is almost all retail related. We have some that we had a slight increase also in our wholesale business, and mostly related or all to our advertising expenses. Our advertising expenses for the six month period have increased about 14% these six months compared to the last six months. Now that includes our total advertising between the retail division and what the corporate spends.
Budd Bugatch – Raymond James & Associates Inc.: If I did my math right, or anywhere near right, it looks like the retail margin on the comparable store base actually improved maybe something like 70 basis points year-over-year. So that’s to around 4% on the same number of stores that you had last year excluding the eleven new stores.
M. Farooq Kathwari: I don’t know, Budd. I’m happy that you are doing all of that stuff but I don’t have that information here.
Budd Bugatch – Raymond James & Associates Inc.: Okay, all right. My last question just on the restructuring charges for the third and the fourth quarter, can you give us a feeling of how that it would separate quarter by quarter, was it 60% or 40%, or the other?
M. Farooq Kathwari: It’s a little bit too early but I think, but at this stage because we don’t know all the way that it will end up. But I think on purposes of just at least giving some indication if you do half and half that will at least give you some indication.
Budd Bugatch – Raymond James & Associates Inc.: Will all stores be closed by the end of the third quarter, or will you have to go into the fourth to close those twelve?
M. Farooq Kathwari: No, some of those will be done. The ones in New York that will be consolidated in our fourth quarter, the others, most of them, will be consolidated in the current quarter maybe one or two will go into the fourth quarter.
Budd Bugatch – Raymond James & Associates Inc.: That’s very helpful. Thank you very much. Congratulations on your performance on what really is a challenging environment.
M. Farooq Kathwari: Thank you, Budd.
Operator: Our next question comes from John Baugh.
M. Farooq Kathwari: Good morning, John.
John Baugh – Stifel Nicolaus & Company: Good morning, really just wanted to focus back on that advertising because some of it is certainly retail focused but did you advertising on a wholesale basis or stripping out the retail up as well. And what is your strategy going forward there?
M. Farooq Kathwari: John, as today we have a strong retail presence in the retail division. Some of the money that we used to spend that we consider retail advertising has really become national advertising, because today we have the ability to spend more money on national programs like direct mail, and national television. So I think more and more, we look upon our total advertising between retail and corporate as one advertising program. And when you combined the two together it is up 14%, part of it is up due to the fact that we have seven new, I mean, eleven new design centers that we are added. And also it is due to the fact that we did increase some direct mail during this past six months compared to the six months in the prior year.
John Baugh – Stifel Nicolaus & Company: Good, so it is up sort of wholesale or stripping out the retail that you are slightly up.
M. Farooq Kathwari: 14% up.
John Baugh – Stifel Nicolaus & Company: Okay. And then your inventory position looks quite good, you mentioned that in case goods that you are shipping 98% and yet, I guess, the inference would be that your case goods inventories are flat or down. Do I have that right and how have you been able to do that basically?
M. Farooq Kathwari: Well, everyday best price has been a very important part of our strategies in terms of maintaining good inventories, good service, and also of course improving our credibility at the retail sites. Because most of the time inventory increases because of the fact that you have to full cost six or nine months in advance. We used to do that and however good you are, you are about 30-40% wrong. So today because of our overall structural changes, we are able to full cost better. And secondly, we have also through continuous programs of making sure that we have the right number SKU’s. We have taken out SKU’s that do not turn and added as options in samples. And also the fact is this that we still maintain 60% of our manufacturing in the United States. And that also benefits our inventory position in the United States.
John Baugh – Stifel Nicolaus & Company: The last question on credit is the percentage of tickets written, is it going up or down? What is that? And has your third party credit provider changed credit terms at all?
M. Farooq Kathwari: No, the credit terms actually were improved in the last six months. We introduced a very favorable credit program offering options to our clients of offering them a one year, two year, three years, and a five year term payment. And from time to time we also offer them same as cash financing. Our terms have more or less stayed the same. And from what we hear from our third party provider, it is on a laundry course basis to us and to our retail network, that we have not had for our customer base any serious delinquencies.
John Baugh – Stifel Nicolaus & Company: And while you are on that, what percentage of your tickets are written for roughly?
M. Farooq Kathwari: I don’t think, John, that we give that information.
John Baugh – Stifel Nicolaus & Company: All right, thank you and congratulations.
M. Farooq Kathwari: Thanks, John.
Operator: Our next question comes from Laura Champine.
M. Farooq Kathwari: Yes, good morning, Laura.
Laura Champine – Morgan Keegan & Company, Inc.: Good morning. Farooq, I read a quote from an interview with you after the January 10th earnings warning that said you were surprised that analysts were projecting growth for 2008 earnings. Was that quote right and does that imply that you would expect that earnings to be down in 2008?
M. Farooq Kathwari: As I recall, what I was referring to the fact was that I think that we should be pleased with the fact that analysts were expecting us to do much, much better than last year. And at the same time talking of recession and talking about the fact that our industry is down in the dumps, yet for us they were saying that we were going to do much better than last year. I think including yourself. So that was my quote about that. They have to be realistic.
Laura Champine – Morgan Keegan & Company, Inc.: I’m sorry, Farooq. I’m still having a little trouble in interpreting that. So does that mean that we should not be expecting for results to be much better than last year?
M. Farooq Kathwari: No, I was referring to what was being expected of this quarter. And that this quarter, I think that some of the analysts were expecting us to do much, so much higher than last year. And my comment was that they need to be realistic as we go forward. I think that you have to do your own estimates because we are not giving any estimates.
Laura Champine – Morgan Keegan & Company, Inc.: Okay, and then lastly on the inventory side, inventory is up 3% when sales were up a little less than 1% year-over-year. Should we continue to expect that in order to deliver in a more timely way that your inventory should grow faster than sales?
M. Farooq Kathwari: I think if you are referring to our inventory growth 1.4%, I think that’s what David just said. And I think that our objective has always been that we have been very fortunate in maintaining very strong controls on inventories and we will continue to do that.
Laura Champine – Morgan Keegan & Company, Inc.: Okay, thank you.
Operator: Your next question comes from [Deforez Tinman].
[Deforez Tinman]: I wanted to get your thoughts on balancing the priorities of operating cash flow in terms of CapEx and share repurchases. It seems like in the past you were willing to allocate the cash in different places depending on what you thought would give us a better return. Can you update us on how you’re thinking about that at this time?
M. Farooq Kathwari : In the last couple of years, we’ve generated over $100 million of operating cash. We’ve also, as you know two years back took a $200 million senior note. As I stated, we’ve ended up with about $86 million of cash on our balance sheet while spending both on capital expenditure and a fairly substantial stock repurchase in the last six months. We have to take a look at a lot of factors. We have to make sure that we don’t overdo in any of those things; that we don’t go overboard in capital expenditures, we don’t go overboard in stock repurchases, we also maintain a decent cash position. So because while we are doing well, we also have to keep in mind that it is better for us to have a reasonably strong financial position. What you see right now, I think it will continue at this stage on a planned basis to invest in our capital expenditures to continue to repurchase stocks if it does make sense, but I also did mention a couple of years from now we expect our capital expenditures to come down.
[Deforez Tinman]: All right. So I guess in terms of priorities, the design center remodels, are those higher priority right now than share repurchases?
M. Farooq Kathwari : Absolutely. Our first priority is to make sure that we strengthen our business and that’s where we’ve invested our money. So most of our capital expenditures have been to invest in real estate so that we have a control of our real estate, control of our occupancy expenses. We would not be doing as well in our operating margins and cash flow if we had not in the last five or six years invested as much as we have in capital expenditures and owning our own real estate and we’ll continue to do that.
[Deforez Tinman]: All right. In the 10-Q we talked about the upholstery facility that we bought from American Leather. Can you talk about what that acquisition means from a strategic standpoint and does that involve any restructuring of the US upholstery in the intermediate or long term?
M. Farooq Kathwari : That operation in Mexico, about 80% of their production was making cut and sew leather for us. They were our primary supplier. As we go forward, now what it has also done is when we purchased it, we ended up also purchasing their leather inventory that’s why our total inventory went up went up only 1.4%. It also reflected the fact that we purchased inventory of leather and work-in-process in that plant. This is an important initiative for us because we believe very strongly that we must diversify our sourcing. We must have sourcing in the United States. We also must support our United States plants wherever it makes sense in bringing in products which are able to help us maintain a competitive price advantage. Now we looked upon many different countries on this cut and sew operation. We looked at Southeast Asia. We look at the fact of should we go there and rather keep it in United States? Mexico gives us an opportunity. It’s great people. They’re very hard-working. I was extremely impressed when I went there. It was somewhat in central Mexico, not in the border towns and also in about three or four days all the work comes to our plant in United States. Strategically, cut and sew people in the United States are hard to get. While in Mexico, we have a fair amount of people who want to do that. So strategically, it’s a very, very important on maintaining our upholstery manufacturing in the US.
[Deforez Tinman]: Can you update us on the cost side in terms of what we’re seeing with foam and upholstery costs?
M. Farooq Kathwari : Our costs are a mixed bag. Our raw materials relating to lumber and logs, as you know, we operate two sawmills up in the northeast, those price have come down. The negative side as you go forward is that as prices have come down, less folks are logging so we are very deeply involved in our sales on logging people and foresters. So from that point we have benefited from the reduction of pricing in the logs and lumber. We’ve also seen a reduction of foam prices, yet somewhat of what we have seen some concerns in the last month or two is a change back into increases in petroleum-based products. We’re seeing the price increase going back up and so that’s a concern. Certainly, of course, our energy costs are a major factor. I think last quarter we had a 7% increase in our energy costs.
Operator: Your next question comes from Edwin Schlaff.
Edwin Schlaff : I just wanted to congratulate you. I really think in this very difficult environment you’ve done extraordinarily well and I think you’ve differentiated yourself from the entire furniture industry by your intelligent approach to interior design; it’s very impressive. I really want to discuss the different divisions. Do you find that there are certain divisions that you are going to be beef-up more? I’m just curious to know if you find that the metro line is selling particularly well or if you find that you’re going to change a little bit of the product mix over the next year?
M. Farooq Kathwari :  Good question. Merchandising question. Well, you know, the focus of developing our product lines into seven lifestyles, I am happy you’re referring to those lifestyles. It’s a very important part of our initiative because these lifestyles have helped us reach a larger consumer base. It has helped us provide an eclectic design that today more and more people need. It is also going to help us to manage our design centers looking good, manage our inventories, all those things. Now your question about to the fact that, where are we headed? We have made a lot of changes as you know in the last few years. The metro is somewhat new. It’s more of an urban modern, it’s getting there and it is obviously the United States is still a country where people still have traditional and country tastes. That’s where most of our business still is. But certainly modern is coming along so from that perspective, I think metro is very important and as you go forward, we’ll also strengthen our loft, which will also give somewhat of a modern and a casual perspective, a very stylish product programs, those are the things we are thinking about.
Edwin Schlaff : I think it’s very smart because I also think if you can encourage younger people to purchase and know the value of the Ethan Allen name, over time when the family formation takes place, you find maybe they will end up deciding to expand and go for maybe more of a classic kind of colonial look, possibly or possibly encourage them to seek out new alternatives.
M. Farooq Kathwari :  Absolutely. Especially now this summer when our website is there which is going to be a state-of-the-art website with great digital photography and graphics, I think that is going to reach a tremendous amount of younger people and I think it is extremely important for us to do.
Edwin Schlaff : And also one other thing. I think you should beef up the advertising for your New York flagship store because I think New York carrying such visibility, I think it’s important to have a major presence in the New York area.
M. Farooq Kathwari :  It will be. And of course, as you know, this new one if you walk by 3rd and 60th you will see the banners are there. I think by April or May it will be open, it’s right adjacent to Bloomingdales.
Edwin Schlaff : Wonderful location. Anyway, very, very impressed with all you’ve accomplished in your fine company.
Operator: Our next question comes from Joel Howard.
Joel Howard : Good morning, Farooq. I wish I had the taste to ask a product question, but I’ll just ask about stores. The pace of independent dealer acquisition over the last few years has been pretty strong. I recall it something over one-third of what was the independent base, call it five years ago, has been absorbed. Given market conditions, do you think the opportunity is likely that that pace increases over the next call it 12, 18 months or are you naturally where you think that’s topped out?
M. Farooq Kathwari : No, our objective is to have a strong company-operated retail division and also supported by strong, independent licensees. The good news is that times have been somewhat tough in the last few years, especially for those who have not been, for lots of reasons, been able to invest in their businesses, relocate the design centers and also did not have succession plans. Those are the ones we took over. We have today a very strong core of independent retailers and of course challenge. These are challenging times and having challenging times, even though once in a while there are a few that have financial issues, but we look at our account receivables, $11 million or $12 million which means they just pay us in time. So financial position, despite the fact that the economy is tough, markets are in a difficult situation, our independence, our investing -- yet I think you’re going to see in the next few years I would say somewhat on more of a limited basis, some of our independent retailers who retire, we will take those over or at least consider taking those over. Then there are some in small markets it’s possible that we don’t take them over as we have consolidated in smaller markets from design centers to design studios. We may end up converting those bigger stores to smaller design studios as we move forward.
Joel Howard : Okay. Well, that’s a good overview. I realize that you have been opportunistic and there have been a number of different scenarios that have played out as these independents have become available. Specifically what I was getting at is do you see the next, call it a year plus or minus, given what I think we’re all expecting consumer durables to look like from a demand standpoint, do you think the pace has the potential to pick up a little bit here again? I know you just crossed over the 50% line with corporate ownership. Could you see that getting at 60% at some point in the next year or two?
M. Farooq Kathwari :  John. I think in the last quarter we acquired I think only two. So just keep in mind, these are tough times and only two. That was done because of folks retiring.
Operator: Your next question comes from Charles Weissman.
Charles Weissman : I may have misheard earlier in the call, but did you actually put a number, like the cost, on these relocations, the 11 design center relocations? Like an earnings per share cost? I may have misheard.
M. Farooq Kathwari : No, what we did was we talked about the expenditures relating to the opening of the 11 new design centers and the expenses relating to that and we give that number. The impact of additional expenses of those 11.
Charles Weissman : I guess the nature of those expenses is like pre-opening costs and rents? What exactly are those?
M. Farooq Kathwari :  No, actually Charlie your question, we have not given that information. You’re talking about just the costs we incur when we open up a relocated design center which is substantial. Those we have not given and those of course we have absorbed all along. As I was saying that I think in the next year or so we’re going to be substantially reducing that.
Charles Weissman : Could you provide a quick roadmap of how you think the capital expenditures, how many design centers? Because you talked about after a couple of years that CapEx significantly rolling off. I was hoping maybe you could just provide somewhat of a roadmap in terms of how that’s going to happen over the next two to three years or so?
Michael Koppel:  Charlie again, it’s too early. You can keep that in back of your mind, we are going to spend approximately $70 million this fiscal year. We might end up spending between $50 million or so next year, and then the year after that, I think it will come down substantially.
Operator: I’m showing no further questions at this time, sir.
M. Farooq Kathwari: Thank you very much. If you have any questions or comments, please get in touch with Peg Lupton. Thank you very much.